Operator: Good day, ladies and gentlemen, and welcome to Universal Display Corporations Fourth Quarter and Full Year 2021 Earnings Conference Call. My name is Sherry, and I will be your conference moderator for today's call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. . As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Darice Liu, Senior Director of Investor Relations. Please proceed.
Darice Liu: Thank you, and good afternoon, everyone. Welcome to Universal Display's fourth quarter earnings conference call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Executive Vice President and Chief Financial Officer. Before Steve begins, let me remind you that today's call is a property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the express written of consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display's website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, February 23, 2022. During this call, we may make forward-looking statements based on current expectations. These statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now, I would like to turn the call over to Steve Abramson.
Steve Abramson: Thanks, Darice. And welcome to everyone on today's call. We are pleased to report our fourth quarter and full year 2021 results. 2021 revenue was a record high of $554 million, operating income was $228 million and net income was $184 million or $3.087 per diluted share. Fourth quarter revenue was $146 million, operating income was $56 million, and net income was $46 million or $0.96 per diluted share. For 2022, we expect the OLED industry to continue to grow with further adoption across a broadening range of consumer products for microdisplays for AR and VR, to smartwatches, smartphones, automotive, foldables and notably IT, where we are seeing a significant increase in interest and product road map activity to break beautiful brilliant TVs. Momentum in the OLED industry continues to grow and we expect to grow with it. Based upon current estimates and expectations, we believe our 2022 revenues will be in the range of $625 million to $650 million. Sid will provide further details shortly. Looking back on 2021, we continue to build on our strong partnerships, advance our innovation engine, enhance our corporate culture and fortify our leadership position, all of which bolsters our first-mover advantage in the OLED ecosystem and strengthens our runway of growth. On the customer partnership front, we extended our long-term agreements with LG Display, Visionox Technology and Tianma Micro-electronics. On the global manufacturing front, we announced with our foundry partner of over 20 years, PPG, the establishment of a new manufacturing site in Shannon, Ireland for the production of our highly efficient, high-performing universal OLED materials. With the proliferation of OLEDs expected to grow for the foreseeable future, we are increasing our OLED emitter production capacity to meet our customer’s increasing needs. This new site will also broaden and diversify our global manufacturing footprint. 2021 was another year of continued recognition for the company. We're recognized by the Financial Times as one of the America's fastest growing companies and just a few weeks ago, we were named the Forbes list of America's Best Midsized companies. For over 2.5 decades, we are focused on cultivating and fostering a global culture that promotes inclusion, inventiveness, integrity and imagination. We are committed to advancing our efforts around sustainability through innovation and continuous improvement. During the year, we were named by Newsweek as one of America's most responsible companies for the second year in a row, awarded a Silver rating for corporate social responsibility from EcoVadis, a leading provider of business sustainability ratings and recognized again by The Forum of Executive Women as a Champion of Board Diversity. Additionally, we achieved ISO 45001 certification in 2021, an internationally recognized standard that emphasizes the continual improvement of an occupational health and safety management system. This certification, coupled with our other certifications of ISO 9001 and ISO 14001 reinforces our corporate commitment towards best international practices. On the research and development front, we remain at the forefront of energy efficient OLED solutions and best-in-class enabling OLED technologies. Our team of scientists and engineers are continually imagining, inventing and commercializing highly efficient and cost effective OLED material solutions and technologies, including novel device architectures, as well as advancing our groundbreaking OVJP manufacturing platform. On the OVJP front, we are making continued advancements with our trailblazing manufacturing platform. As the OVJP team steadily progresses with constructing the key subsystems of our alpha system design, our potential partnership discussions are evolving and progressing well. While commercial system is still a few years away, we believe that OVJP will pave the path for high volume manufacturing of large RGB OLED TV panels and develop into a multibillion dollar market opportunity. On the materials front, our portfolio of leading edge, energy efficient, high performing phosphorescent materials continues to broaden with next-generation’s reds, greens, yellows and hosts. With respect to blue, we continue to make excellent progress in our ongoing development work for a commercial phosphorescent blue emissive system. Given recent advancements, we believe that we are on track to meet preliminary target specs with our phosphorescent blue by year-end, which should enable the introduction of our all phosphorescent RGB stack into the commercial market in 2024. We believe that the commercial introduction of our full color emissive stock will unlock a vast array of opportunities for higher energy efficiency and higher performance across a broad range of OLED applications. On the OLED consumer market front, from the introduction of its new Galaxy S22 smartphones and TAB S8 Plus and S8 Ultra tablets 2 weeks ago to the success of its foldable Galaxy Z Series where sales more than quadrupled year-over-year in 2021 to the unveiling of its hybrid QD-OLED TV last month at CES, Samsung's portfolio of OLED products continues to broaden and 2022 is expected to be another year of OLED product expansion. LG Display continues to ramp up its OLED TV production. For 2022, LGD plans to increase its OLED TV shipments to almost 10 million units, up from slightly under 8 million units in 2021. Augmenting their growth will be the commercial introduction of its new 42-inch, the 97-inch OLED TV panels. On the small and medium front, LG announced that it was investing in new Gen 6 OLED capacity as the company looks to expand its share in the smartphone, automotive and IT OLED markets. Towards the end of 2021, BOE began mass production of Phase I in its third OLED fab in Chongqing, which has a design monthly output of 48,000 flexible Gen 6 patents. BOE has also been working closely with ASUS. And at CES, ASUS unveiled the world's first 17.3-inch foldable OLED laptop, an OLED IT product with the form factor versatility of being used as a PC monitor, laptop or tablet using BOE's flexible OLED panel. Last week, Tianma held a production commencement ceremony for its new Gen-6 flexible fab in Xiamen. The total investment of the project is approximately $7.6 billion, which importantly makes it the largest single high-tech investment in Xiamen history. This OLED plant is also designed for 48,000 substrate starts per month. China Star is in the midst of ramping each Gen 6 flexible OLED capacity at Wuhan plant after installing Phase II and Phase III equipment last year, China Star's first OLED fab now as a monthly installed capacity of 45, 000 substrate starts. And Visionox's new Gen-6 flexible OLED and Heta has been fully ramped and is capable of manufacturing 30,000 plates per month. The proliferation of OLEDs is state. As OLED penetration in the smartphone market reaches 50% or approximately 675 million units, we believe a significant new wave of capital investment plans for medium and large area OLED displays is beginning to form, where OLED penetration is only 2% in the IT market and with 3% in the TV market today. From an OLED capacity standpoint, year-end 2021 installed base of OLED square meter capacity increased by approximately 40% over year-end 2019 and a few installed time lines are shifted. The multiyear CapEx cycle of the last 6 years has led to a sizable increase in the number of OLED fabs from less than a handful of manufacturing plants to approximately 2 dozen OLEDs adds today or an increase of over fivefold. As we look out, we are currently tracking about 10 expansion projects in Korea and China for the coming 24 months. We estimate that these new expansion phases will result in year-end 2023 installed OLED capacity as measured in square meters, to increase by approximately 20% to 25% of over year-end 2021. As panel makers continue to invest in OLED-expansion capacity, a new wave of medium and large area OLED investments is beginning to take shape. Driven by an intensifying push from leading OEMs for OLED IT products and increasing strength in the OLED TV market, a significant new wave of Gen 6 and Gen 8.5 OLED capacity plans are reportedly in the works. Last week, the SEC announced that there are 11 different Gen 8.5, Gen 8.6 IT OLED lines under development. According to the market research firm, IT fab spending is expected to increase every year from 2021 to 2025 and OLED spending in 2024 and 2025. All of this, we believe, translates into the continuation and expansion of the OLED industry's multiyear CapEx cycle. On the lighting front, while we are still in the early commercialization stage, we are seeing advances in OLED lining for the automotive market. Last month, OLEDWorks showcased its next-generation high brightness and segmentation automotive OLED lighting at CES. According to OLEDWorks, automotive designers can take advantage of the unique characteristics of OLED taillights, which include brightness and color uniformity, lightweight and ultra-thin form factor. On that note, let me turn the call over to Sid.
Sid Rosenblatt: Thank you, Steve. And again, thank you, everyone, for joining our call today. Let me review our 2021 results before commenting on our 2022 guidance. 2021 revenues were a record $554 million, up 29% year-over-year. Material sales were $319 million, up 39% year-over-year and royalty and license revenues were $219 million, up 18% year-over-year. And Adesis revenues were $16 million, up 13% year-over-year. 2021 material gross margins were 67% and our overall gross margins were 79% for the year. 2021 operating expense, excluding cost of materials was $211 million, up 13% year-over-year. We are continuing to invest in multiple strategic growth initiatives including next-generation red, green, yellow and blue emissive materials and OLED technologies, our OVJP manufacturing platform, our global infrastructure, including our new Shannon site and in our people. Our 2021 operating income was $228 million, up 45% year-over-year and translates into operating margins of 41%. 2021 net income was $184 million or $3.87 per diluted share, up 38% year-over-year. We ended the year with $823 million in cash, cash equivalents and short-term and long-term investments, or $17.37 and of cash per diluted share. Now, moving on to our fourth quarter results. Revenues for the fourth quarter of 2021 was a record high $146.2 million. Our total material sales were $85.8 million in the fourth quarter, up 13% sequentially from last quarter's $75.6 million and up 37% from the comparable year-over-year's quarter $62.5 million. Green emitter sales in the fourth quarter of 2021, which include our yellow, green emitters were $66.7 million in the fourth quarter, up 15% sequentially from the third quarter's $57.8 million and up 38% from the comparable year-over-year's quarter $48.2 million. Red emitter sales were $18.9 million in the fourth quarter, up 7% from the third quarter, $17.7 million and up 32% from the comparable year-over-year's quarter, $14.3 million. As we have discussed in the past, material buying patterns can vary quarter-to-quarter. Some of the contributing factors include COVID-19 and supply chain issues, as well as consumer product demand cycles, capacity ramp schedules, production loading rates, device recipes, product mix, material ordering patterns, customer inventory levels, and customer production efficiency gains. Since a number of these factors are moving variables for our customers, they are also moving variables for us. Fourth quarter 2021 royalty and license fees were $56 million, this compares to $63.9 million in the third quarter of 2021 and $75 million in the fourth quarter of 2020. Fourth quarter 2021 Adesis revenues were $4.5 million. This compares to $4.1 million in the third quarter of 2021 and $4 million in the fourth quarter of 2020. Cost of sales for the fourth quarter of 2020 were $32.2 million translating into overall gross margins of 78%. This compares to $31.5 million in gross margins of 78% in the third quarter of 2021 and $27 million and gross margins of 81% and in the fourth quarter of 2020. Cost of OLED material sales were $29.2 million, translating into material gross margins of 66%. This compares to 62% in the third quarter of 2021 and comparable year-over-year's quarter material gross expense. Fourth quarter 2021 operating expense excluding cost of sales was $57.5 million compared to last quarter's $54.4 million and the year-over-year's comparable quarter of $48.8 million. Operating income was $56.5 million in the fourth quarter of 2021 compared to last quarter's $57.7 million and the year-over-year comparable quarter's operating income of $65.8 million. Operating margin was 39% in the fourth quarter of 2021 compared to 40% in the third quarter of 2021 and 46% in the fourth quarter of 2020. Fourth quarter 2021 income tax rate was 19%. Net income for the fourth quarter of 2021 was $45.9 million or $0.96 per diluted share. This compares to last quarter's $46.1 million or $0.97 per diluted share and the comparable year-over-year's quarter of $53.9 or a $1.13 per diluted share. Now on to our outlook. 2022 is expected to be another record revenue year. We expect our 2022 revenues to grow to be in the range of $625 million to $650 million. We believe that the 2022 ratio of materials to royalty and license fees will be in the poll park of 1.4:1. 2022 overall gross margins are expected to be approximately 79% similar to the gross margins of 2021. Regarding material gross margins, with the increasing complexity of our next-generation materials, growing development material pipeline and higher Iridium costs, we expect our 2022 material gross margins to be in the 65% to 70% range. 2022, operating margins are expected to be in the range of 40% to 45%. Operating expenses of SG&A, R&D and patent costs in the aggregate are expected to increase by 10% to 15% year-over-year, with R&D estimated to be up 15% to 20% year-over-year, and SG&A expected to be up 5% to 10% year-over-year. We expect the effective tax rate to be approximately 19%. And lastly, we are pleased to announce that the Board of Directors has approved an increase in Universal Display's quarterly cash dividend. A dividend payment of $0.30 per share will be paid on March 31, 2022, to stockholders of record as of the close of business on March 17, 2022. The dividend increase reflects the confidence in our robust future growth opportunities, expected continued positive cash flow generation and commitment to return capital to our shareholders. With that, I will turn the call back to Steve.
Steve Abramson: Thanks, Sid. Leveraging our 25-plus years of vision, innovation and reality, Universal Display Corporation continues to be a leading pioneer in the OLED industry. From the invention of fast present OLED technology to the continuous discovery, development and delivery of next-generation OLED materials and technologies to advancing our groundbreaking proprietary OVJP platform to spearheading the efficiency and lifetime performance breakthrough of our Plasmonic OLED architecture, we have constructed and fortified a leadership blueprint of innovation, agility and growth. Our multifaceted strategic approach and game-changing R&D initiatives shape and strengthen our road map of enabling our customers and the OLED industry growing our business, expanding our market opportunities, reinforcing our global intellectual property framework and amplifying our value proposition in the OLED ecosystem. Our growth story is still in its early chapters and is expected to be further fueled by new OLED products, new OLED spending and new OLED capacity. We believe that we are well positioned to continue to participate in the industry's growth due to the strength of our existing industry-leading product offerings and from future commercial opportunities presented by our Phosphorescent Blue and OVJP platform, both of which are expected to be substantial and significant. Combined with our global partnerships and global scale, we are excited for the extraordinary and tremendous opportunities ahead for the company. I would like to thank each of our employees for their drive, desire, dedication and heart in elevating and shaping Universal Display's accomplishments and advancements. We are committed to being a leader in the OLED ecosystem, achieving superior long-term growth and delivering cutting-edge technologies and materials for the industry, for our customers and for our shareholders. And with that, operator, let's start the Q&A.
Operator: Thank you, Mr. Steve.  Our first question is from Brian Lee with Goldman Sachs. Please proceed with your question.
Brian Lee: Hi, guys. Good afternoon. Thanks for taking the questions. Maybe first off, just with the new disclosure and commentary around blue, I wanted to dig into that a bit. I know in the past with green commercialization, I think that happened back in like 2013, 2014, you had seen revenue on that new material and developmental pick up quite a bit before the material was actually designed into a commercial product. So in that context, how should we be thinking about blue given your new commentary? Will there be any notable revenue in 2023? And then in terms of commercialization timing in 2024, is that to mean you're designed into a product in 2024, or just, kind of, if you can give us a little bit more of the detail behind the way you're thinking about the ramp over the next couple of years?
Steve Abramson: So Brian, the way we're looking at is we were actually currently selling some phosphorescent blue materials now in development. We would expect it to pick up a little bit, but not move the needle until we get to the commercial level. Today's announcement was really a significant advance announcement on the advances that we have been making on our blue phosphorescent material system, and we can see that we're on track to hit target specifications by the end of this year. We're continuing to work with our customers, and we expect that the commercial blue will be in the market in 2024.
Brian Lee: That's great. Thanks Steve for that color. And I know in the past, you had talked about the blue material as a system. So having both the emitter as well as the host, is that still kind of the plan as you think about the advancements you just made in that end of 2022 specs target in 2024 commercialization?
Steve Abramson: Yeah. Our R&D teams are working on the phosphorescent present blue system, which consists of an emitter host system. That's what we're focusing on -- focusing.
Brian Lee: Okay. Fair enough. And then maybe one last one, and I'll pass it on, again on blue. With respect to commercialization there, I know you've said this multiple times in the past and Samsung, your largest customer doesn't have a portfolio license, it would mean they don't have access to blue under the current contractual agreement. So with this year being the final year of their contract, are you anticipating that they just renew with the two-year extension that they have, the option for, or are you anticipating that you'll already be talking about incorporating more of a portfolio license agreement now that you have line of sight for having blue ready within the next couple of years? Just wondering what your thought processes around Blue as it relates to your largest customer in their contractual situation?
Steve Abramson: Well, Brian, as you know, we've been working with Samsung for 20 years through a lot of developments and advancements both of those parties -- both of our parties. And we expect to continue to be working with them over the next long time as well. But exactly how that's going to take place, we'll have to see as we move forward into the future.
Brian Lee: Thanks for the call. I will pass it on. Appreciate it.
Operator: Our next question is from C.J. Muse with Evercore ISI. Please proceed with your question. 
C.J. Muse: Yes, good afternoon and thank you for taking the question. I guess first question, just a follow-up on blue. You've talked about excellent progress for multiple quarters now, but clearly, there's a change statement here. So -- can you be perhaps more specific on what the recent advancements have been? And what are the key milestones that you're focused on as we proceed through 2022?
Steve Abramson: Sure. Well, some of them I can talk about. Obviously, a lot of them are confidential. But we've been making advancements of the excellent progress line on color point lifetime and efficiency of our phosphorescent and blue emissive system. Recently, we've seen not only the continual improvements that we've been making, but some step level advances that's giving us additional confidence in hitting the targets.
C.J. Muse: And as part of that, any milestones that we should be aware of internally in terms of the 2022 positive outcome?
Steve Abramson: Well, while we clearly have internal milestones, I think we're going to keep that internal for the time.
C.J. Muse: All right. It was worth the try. As my follow up question. Can you speak to the revenue outlook for 2022? Pre-606, you had $39 million in deferred revenues. You exited 2021 with $157 million. It would seem obvious to me that the majority of that, I would think, would be tied to your largest customer with the fixed royalty. And that, therefore, deferred revenue should be a real tailwind to you in 2022. So I guess -- is that the case? What kind of assumptions are you making there? And then as part of that, if you were to see an extension of the agreement with Samsung by 2 years, how would that cause changes in your deferred revenue assumptions?
Sid Rosenblatt: Thanks, C.J.. As we've noted in the past, as we closer to the end of customer agreement terms, we recognize more of the customers deferred revenue based upon our expectations, and we've always expected to have more at the end of the contract than at the beginning of the contract. But I can tell you that our largest customer is no longer in the majority of our deferred revenue. We -- there's a number of customers that are in there. In addition to that, it is something that – our expectations are that we will use the deferred revenue over the life of the agreement. So, each of the customers' agreements are a different lifetime. If we enter into a new one, we'll have to see what exactly that is when it occurs, what impact it will or will not have?
C.J. Muse: Thank you. 
Sid Rosenblatt: Thanks, C.J..
Operator: Our next question is from Jim Ricchiuti with Needham and Company. Please proceed. 
Jim Ricchiuti: Thanks. Good afternoon. I know, putting together the annual guidance is a little bit hard, maybe less science. But if I think about the way you're guiding for the year, the moderation in growth in the context of more foldables, more LG producing, many more OLED TV units, the IT market. I'm just wondering, are you being a little bit more cautious with respect perhaps to the core handset market?
Sid Rosenblatt: Well, to be honest, Jim, these are our best estimates for the year. As we've noted in the past, we look at this every quarter. But just to add, if you look at the overall market, and according to the overall market, we expect to grow with the market. And according to Omdia Market Research, the OLED market is expected to grow by approximately 50% to $46 billion from 2020 to 2022. If you look at our 2022 revenue guidance, our estimated 2020 to 2022 revenue growth is expected to be in line with the market growth -- with that market growth rate.
Jim Ricchiuti: Got it. Okay. And just as a follow-up, you talked a little bit more about the OVJP. And I'm wondering if there are any milestones that we need to be thinking about this year, whether it's in the first half. I mean, you talked about an alpha tool and the discussions, I assume that you're having some discussions with equipment companies. But just in general, how should we think about some of these milestones this year, or is this something that we should be thinking about more meaningful milestones in 2023?
Steven Abramson: So Jim, right now, we're looking at -- on the development side, we're creating these test stands, which prove in the viability of OVJP for large area manufacturing and will serve as the building blocks for the alpha system. So those are the -- that's the focus on the technical side during 2022. On the commercial side, we're continuing our conversations with potential equipment suppliers and partners, as well as customers. And those types of development and commercial activities are what we're looking at in 2022.
Jim Ricchiuti: Steve, is there more interest from the equipment capital...
Steven Abramson: There's a lot of interest. We've been doing this on a relatively small scale, the six to eight-inch small scale that we've been doing it. We're now scaling up to a much larger size. And by showing people that OVJP is really good at the larger sizes, we think that, that type of proof of concept is going to generate a lot of excitement.
Jim Ricchiuti: All right. Thanks a lot.
Operator: Our next question is from Krish Sankar with Cowen and Company. Please proceed.
Krish Sankar: I have sensitive related question. I had two of them. So first one, on your year revenue guidance, I understand you might not be constrained but your customers might be supply constrained. So when you look at your guidance for the full year of revenue, where do you think the risk is? Is it more on the smartphone side, or TV large panel side for you?
Sid Rosenblatt: Thanks for the question. I mean when we look at our guidance, we look at all the components, and we look at all of the information that we get from our customers based upon their estimates, and we look at market data, there clearly have been some headwinds and they still relate to component shortages. And I think there's still some COVID-19 issues. So, I think that those are some of the areas that you still have risk. I mean you still hear -- our customer LG talking about 10 million TVs in 2022, up from about just under $8 million in 2021. So we do look at all the pieces, but there still are some risks, I think, in the system today.
Krish Sankar: Got it. Fair enough. And then just a follow-up on blue kind of like a two-part question. One is on the blue side, should we assume that when it gets commercial in 2024, the market is mainly for smartphone versus large panel? And the second part of the question is that how to think about blue, do you think it actually replaces red? Is that the incremental opportunity? And how do you think about pricing for Blue relative to red and green?
Steve Abramson: The first part of your question--
Sid Rosenblatt: Smart phones.
Steve Abramson: Our customers have a wide variety of end users that they want to use blue one. So, we really can't predict which ones which customers are going to use. It's going to be valuable across the board. And we're looking at the blue opportunity is additive to red and green. So, we're looking to replace -- basically replace the fluorescent blue that's currently in use with our phosphorescent blue system.
Krish Sankar: Got it. And any thoughts on pricing?
Steve Abramson: Well, as we get closer, we'll figure out what the pricing is going to be.
Krish Sankar: Thanks Steve. Thanks Sid.
Sid Rosenblatt: Thank you.
Operator: Our next question is from Sidney Ho with Deutsche Bank. Please proceed with your question.
Jeff Rand: Hi, this is Jeff Rand on for Sid. You gave an update on your expected square meter growth OLED installation over the next two years, which represents a slowdown versus the 40% you saw in the last two years. Do you see an opportunity for this growth to reaccelerate with the introduction of OVJP in the next few years?
Sid Rosenblatt: Thank you. I think that when we talk about the growth over the next two years, we are also hearing that there is a lot of chatter regarding IT CapEx cycle. And a lot of that really is looking at the end of 2023 into 2024. So, I do think that, that the IT cycle -- I think we've heard that something like 10 or 11, I think it sees comments, facilities that were going to be put in place during that period. And right now, we're only at 2% of the IT market. So, we look at that as a very good opportunity for OLED and for us.
Jeff Rand: Great. Thank you. And as my follow-up, with the situation with Russia and Ukraine escalating, are there any risks to your business or your customers' business that you're monitoring right now?
Sid Rosenblatt: I mean, to be perfectly honest, I'm not sure I have an answer for that. I do think that, clearly, it's a risk for the world. So for us, there's nothing specific about that, that would impact us.
Steve Abramson: There's no raw materials coming from either of those two countries that would affect our business.
Jeff Rand: Great, Thank you.
Steve Abramson: Thank you.
Operator: Our next question is from Martin Yang with Oppenheimer & Company. Please proceed.
Martin Yang: Hi, good afternoon. Thank you for taking my question. My first question is on Blue. Do you think your blue will apply similarly to any applications that currently use fluorescent blues?
Steve Abramson: Ultimately, we'll pay the way the blue is going to work in the initial -- like everything, the initial first product will be the product that meets basic needs, and then it will continue to improve. But there is interest across the board because of the energy efficiency, the additional brightness lower panel temperature as well as a lot of other lower things that can use lower power consumption for.
Sid Rosenblatt: Yes. And just to add, Martin, as we've talked about in the past, when you have a new material used in phosphorescence, it does require a redesign to the backplane. So as things start adopting our blue, they will start obsoleting older generations, but it will take some time to get adopted across the board.
Martin Yang: A follow-up on that. Do you have any information on which backplane design will be the easiest to change to implement your blue?
Sid Rosenblatt: To be honest, we're not backplane people. We know -- they changed back plan designs quite a bit at every other generation product. So it is something that's in the normal course of the business for the OEMs, but that's not our business.
Martin Yang: Got it. My final question is on your installed capacity estimates. By the end of 2023, would you be able to separate how much our capacity is devoted to IT?
Sid Rosenblatt: We really just give you -- we look at everything. But as we stated and it was in Steve's comments, there's -- Gen 8.5 and Gen 8.6 technology for IT is really the bulk of it. And it's mainly IT and TVs. The CapEx that's growing is predominantly not for smartphones.
Martin Yang: Got it. Thank you 
Sid Rosenblatt: Thank you.
Operator:  Our next question is from Atif Malik from Citi. Please proceed with your question.
Atif Malik: Thanks for taking my questions. First, a quick clarification. In your prepared remarks, you talked about blue hitting some target specification by the end of this year. Is that specification your internal specification or customer specification?
Steve Abramson: That's actually a good question. We're calling a development specification. We kind of understand what the market is looking for. And so we've developed our own internal specifications for that. And in the state specification we've been using for quite some time.
Atif Malik: Okay. And then the second one for Sid, on the gross margin. What are you assuming for the raw material costs like the Iridium for the gross margin this year? Because last year, the gross margins were I think a little bit below that 80% kind of goal for the full year. So `just talk about what are you assuming for the puts and takes on the gross margin this year?
Sid Rosenblatt: We expect our gross margins to be in the 65% to 70% range. We do believe that there are some costs. And without breaking down what is what, we have developmental materials that go into gross margins. We've talked about Iridium going into gross margins into our costs and other components. So we really don't break it down. But they are the areas that are impacting our gross margins than we expect it t o be in this year to impact it.
Atif Malik: Great. Thank you.
Operator: Our next question is a follow-up from Krish Shankar with Callon & Company. Please proceed.
Krish Sankar: Yeah, hi. Thanks for taking my follow-up. Sid, I just had a quick math question for you. If you look at the back of the envelope, looking at the midpoint of the revenue guidance and the ratio of materials license of 1.4 to 1. It seems like the license revenue is going to grow faster than the materials this year compared to the opposite last year. A, is that correct? And if so, why is that the case?
Sid Rosenblatt: Well, we don't break down -- break it out, but we give you some guidance of 1.4. And it really depends on each of the customers, because -- and when we go through the accounting for this, we look at each contract. And some of the customers, as we've talked about have fixed license fees and some of them have royalties and some have a combination. But what you do is estimate how much you're going to sell over the life. And so it just really depends on the ratio of one customer to another customer, what the end result will be. They are different for each customer.
Krish Sankar: Got it. All right. Thank you very much.
Sid Rosenblatt: Thank you.
Operator: Our next question is from Andrew Abrams with Supply Chain Market Research. Please proceed.
Andrew Abrams: Hi, guys. Just one quick question on the emitter side. Was there anything on either green or red that was different than normal, meaning typical expansion or typical capacity increases, meaning is there somebody who was accumulating or anything that might have been out of line with either what you guys had expected or what we might consider normal?
Sid Rosenblatt: Thanks, Andy. I don't think there's anything at a normal. I think you're leading to whether was there anybody buying safety stock or buying excess. But I don't think there's anything like that that occurred year-end.
Andrew Abrams: Great. Okay. Thank you. I appreciate it.
Sid Rosenblatt: Thank you.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the program back over to Sid Rosenblatt for any additional or closing remarks.
Sid Rosenblatt: Thank you all for joining the call tonight. We appreciate your interest and hope you have a good night. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time, and thank you for your participation.